Operator: Good day, and welcome to the Amtech Systems Fiscal Quarter and Fiscal Year 2022 Earning Conference Call. Please note that this event is being recorded. I would now like to turn the call over to Erica Mannion of Sapphire Investor Relations.
Erica Mannion: Good afternoon, and thank you for joining us for Amtech Systems fiscal fourth quarter and full year 2022 conference call. With me on the call today are Michael Whang, Chief Executive Officer; Lisa Gibbs, Chief Financial Officer, and Paul Lancaster, Vice President of Sales and Customer Service. After close of market today, Amtech released its financial results for the fiscal fourth quarter and full year 2022. The earnings release is posted on the company's website at www.amtechsystems.com in the investors section. Before we begin, I'd like to remind everyone that the safe harbor disclaimer in our public filings covers this call and our webcast. Some of the comments to be made during today's call today will contain forward-looking statements and assumptions that are subject to risks and uncertainties, including, but not limited to, those contained in our SEC filings, all of which are posted within the Investors section of our corporate website. The company assumes no obligation to update any such forward-looking statements. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of today. These statements are not a guarantee of future performance, and actual results could differ materially from current expectations. Among the important factors which could cause actual results to differ materially from those in the forward-looking statements are changes in the technologies used by customers and competitors; change in volatility and demand for our products; the effect of changing worldwide political and economic conditions, including trade sanctions; the effect of overall market conditions, including the equity and credit markets and market acceptance risks; ongoing logistics, supply chain and labor challenges; capital allocation plans; and the worldwide COVID-19 pandemic. Other risk factors are detailed in the company's SEC filings, including its Form 10-K and Forms 10-Q. I will now turn the call over to Mike Whang, Chief Executive Officer.
Michael Whang: Thank you, Erica, and everyone for joining us today. Fiscal year ‘22 was a strong year for Amtech with over $114 million in bookings, $106 million in revenue, and $51 million in backlog exiting the year. To place this in perspective, despite challenges during the year, including the Shanghai lockdown in fiscal Q3, revenue for the year grew 25% with backlog continuing to grow. Driving our backlog growth is a strengthening and diversification of EV-related demand across multiple product lines primarily for our U.S. operations. Q4 revenue was $32 million, up 33% year-over-year as we were able to service much of the advanced packaging and SMT demand built up during the Shanghai lockdown in Q3. Overall, we remain excited about the long term opportunities across all of our businesses. Within the semi business unit, following nearly nine straight quarters of strong demand for our advanced packaging products. We have begun to see softening in new orders as customers digest existing capacity and evaluate capital spending projects in light of the changing market conditions. In addition, in high volume SMT applications, we are seeing a shift in global strategy as our customers look to mitigate multifaceted risks. While this is causing delays and disruptions to overflow for now, we feel this redistribution of the customer base will present a great opportunity in the near future. Also within the semi business unit, we are seeing meaningful increases in demand for our high temperature belt furnaces driven by multiple high volume applications serving the EV market. These applications include thermal processing of EV sensors, battery cooling assemblies and power module substrates among others. In the Materials and Substrate business unit, we continue to see strong demand for our consumable products, driven by the ramp in silicon carbide wafer capacity. As we have said in the past, this will be a multiyear capacity expansion cycle as individual customers ramp wafer capacity then digest, then ramp again. As evidence of this, in the December quarter, we are seeing a stabilization of consumable demand while existing wafer capacity is fully utilized and would expect to see a subsequent step up in demand as the next phase of wafer capacity expansions are brought online. In summary, while we are dealing with material disruption in customer demand, we are confident that our strategy to align our divisions to high growth megatrend markets such as EV is hit and hold. In fiscal year 2022, we saw a four-fold increase in bookings related to EV applications with participation expanded to multiple product lines across all of our business units. We believe this strategic alignment to megatrend growth at multiple intersection points creates a strong and more durable foundation for value creation in the coming years. As we look ahead, we are confident, we are well positioned in the growth markets with exposure to several secular tailwinds creates a significant opportunity to drive increased profitability and shareholder value as demand accelerates and we realize the operating leverage built into our current business model. I will now turn over the call to Paul Lancaster.
Paul Lancaster: Thank you, Michael. Expanding further on the demand environment with our advanced packaging and SMT products, we continue to see healthy mid to long-term interest. However, we have seen near-term softening given both the cyclical nature of the industry and macro semiconductor headwinds. Offsetting this, as Michael mentioned, we are seeing strong growth in products with exposure to electric vehicle applications. For example, last quarter, we received an initial $8 million order for our high-temp belt furnaces, growing backlog for these products to approximately 50% of the company total. Within the silicon carbide market, which at this stage is primarily focused on EV, we continue to see increases in consumable demand as our customers execute on their capacity expansion plans. As evidence of this, in the fourth fiscal quarter, we saw a 120% year-over-year revenue growth for these products. It is important to remember though that going forward, this will be a multiyear expansion effort and the pace of capacity additions is often longer than that of traditional silicon. Taken together, the demand for these products, namely high-temp belt furnaces, and silicon carbide consumables remains very robust. At this stage, limiting our ability to readily service this demand is a combination of supply chain constraints and internal capacity. As these products are predominantly manufactured in the U.S., we are executing to further expand our manufacturing capacity and strengthen our supply chain to reduce lead times and risk. While we are still early in the process, we are urgently moving forward to ensure we have the appropriate scale, capability and resiliency to more quickly convert backlog to revenue and capture the opportunity ahead. I'll now turn the call over to Lisa.
Lisa Gibbs: Thank you, Paul. Net revenues increased 62% sequentially and 33% from the fourth quarter of fiscal 2021, with the sequential increase primarily attributable to increased shipments of our advanced packaging equipment and increases in polishing equipment and consumables. As a reminder, during the third quarter of fiscal 2022, our Shanghai facility was closed for approximately two months due to the government mandated closure relating to its COVID policies. The increase in net revenues from the fourth quarter of fiscal 2021 was primarily a result of increased shipments across all of our product lines. Gross margin increased sequentially and from the fourth quarter of fiscal 2021 due primarily to increased utilization in all of our locations, partially offset by increasing material costs primarily in our semiconductor segment. Selling, general and administrative expenses increased $0.1 million on a sequential basis and $0.7 million compared to the prior year period. The increase from the fourth quarter of fiscal 2021 primarily relates to the timing of external and internal audit fees. Research, development and engineering decreased $0.3 million sequentially and was relatively flat compared to the same prior year period. Operating income was $3.9 million compared to operating income of $9.6 million in the third quarter of fiscal 2022 and operating income of $1.3 million in the same prior year period. Income tax provision was $0.6 million for the three months ended September 30, 2022, compared to a provision of $20,000 in the prior quarter and $0.7 million in the same prior year period. Net income for the fourth quarter of 2022 was $4.2 million or $0.30 per share. This compares to net income of $10.2 million or $0.73 per share for the preceding quarter and net income of $0.7 million or $0.05 per share for the fourth quarter of fiscal 2021. Unrestricted cash and cash equivalents at September 30, 2022 were $46.9 million compared to $47.7 million at June 30, 2022. Approximately 84% of our cash balance is held in the United States. As we conclude, our 2022 fiscal year, we are pleased with our annual results of $106 million in revenue, an increase of 25% from fiscal 2021, and net income of $17.4 million or $1.22 per diluted share. The $12.5 million gain from the sale of our building in Massachusetts was an added benefit to our fiscal year 2022 results and resulted in a net cash inflow of approximately $14.9 million. Looking ahead into our fiscal ‘23, we will continue to focus on our growth strategy, which includes product development to drive organic growth, and pursuing strategic M&A opportunities. We are also evaluating capacity and labor investments to strengthen our capabilities and to ensure our readiness for the growth we see ahead in EV related products and services across all of our business units and to help us accelerate the servicing of our backlog. Another key consideration for our capacity investments is mitigating business continuity risk. Now turning to our outlook. As Paul discussed, supply chain constraints and disruptions in our U.S. business are impacting our near term results, as is the softness in SMT and Advanced Packaging. For the quarter ending December 31, 2022, our fiscal first quarter revenues are expected to be in the range of $21 million to $23 million with operating margin negative. The company's outlook reflects the ongoing logistical impacts and the related delays for goods shipped to and from China as well as the supply chain delays we are experiencing in our U.S. operations. Actual results may differ materially in the weeks and months ahead. Additionally, the semiconductor equipment industries can be cyclical and inherently impacted by changes in market demand. Operating results can be significantly impacted positively or negatively by the timing of orders, system shipments and the financial results or manufacturers. A portion of Amtech's results is denominated in RMB as a Chinese currency. The outlook provided is based on an assumed exchange rate between the United States dollar and the RMB. Changes in the value of the RMB in relation to the United States dollar could cause actual results to differ from expectations. Now I will turn the call over to the operator for questions. Operator?
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Craig Irwin with ROTH Capital. Please proceed with your question.
Craig Irwin: Good evening, and thanks for taking my questions. So the first question I wanted to ask is about the $8 million order in the quarter. I believe you said it was for a belt furnace. Is this for an individual unit or multiple units? Can you maybe share whether or not this is to service single site? And can you clarify for us, if this is for a silicon or silicon carbide fab application?
Michael Whang: Hi, Craig. Good to hear from you and thanks for joining us. I'm going to have Paul answer that question and give you some additional details on that specific order.
Paul Lancaster: Hi, Craig. Yeah. This was for multiple units. These are our controlled atmosphere furnaces built out of Billerica facility in Massachusetts. And they are going to a single site factory located in Asia. It's a direct bond copper application used for making components directly related to electric vehicle, electrification application.
Craig Irwin: Okay. Excellent. So this is -- it sounds like it's sort of downstream in the packaging market. Is that fair sort of for the module assembly?
Michael Whang: Exactly.
Craig Irwin: I understand sort of where. Okay. My next question is really about this supply chain issue in the United States, right? You guys are a little bit off cycles for this is very informative for all the investors that follow this industry and are obviously listening carefully to what you say because we know that you manage the company very well. Can you maybe give us a little bit more color on which components are seeing scarcity right now? And whether or not this has changed dramatically in the last couple of months or if this is sort of continuity, deterioration improvement, any color here that you could share would be useful?
Michael Whang: Hi, Craig. I could take that one. So this is more of a continuation of the challenges that we've seen at the onset of COVID. As you know, there are shortages across the board amongst our peers and customers in electronics, especially at chips as soon as that sounds, motors, drive units and an even sheet metal. The volatility that we've seen in our supply chain pre-COVID is real. And as we try to ship away from that volatility source. We're also finding out that that the new areas that we're looking into to shore up and strengthen our supply chain is not at a position that's comparable to say Asia, right? I would say that it is overall, it is stabilizing. It is getting better, as we navigate through different supplier options. And also based on the current macro disruptions logistically, geopolitically, it's imperative that we diversify away from our traditional supply chain base and strengthen that area. That's very key to servicing very quickly the growing backlog that we have. That my eyes is not sustainable and we are taking rapid steps at the moment to diversify and strengthen our supply chain.
Craig Irwin: Understood. That makes a lot of sense. Coming to the silicon carbide consumables, that's exciting growth to see that growing more than 100%. Can you maybe share with us a little bit more color, the market leaders are all looking for multifold growth off of where they were last year and things have been lagging for many of the producers? Can you share whether or not this more than 100% growth you saw was dollar volume for Amtech and whether or not it correlates to the numbers of square inch of wafers processed or if given the anticipated move to 8 inches wafers and some of the other changes in the market are causing sort of the opportunity per square inch to be slightly different for 8 inches versus 6 inches or 6 inches today versus what 6 inches was a year ago, two years ago?
Paul Lancaster: Hi, Craig. This is Paul. Trying to give you a little color there. To answer your first question, yeah, that was revenue growth year-over-year. And it is -- we don't -- we can't go into great detail on sort of the configuration of our consumables because it's confidential, obviously. But it is tracking pretty well. As we said previously, there's always been a lot of talk about expansions on the fab side as it relates to silicon carbide. But what we're seeing today is wafer capacity is starting to finally expand. And we're seeing this growth because of those public announcements where they are adding capacity on the wafering side. And that's the areas where our consumables are used. We've said in the past that as they expand, we will see an increase in sort of a plateau and then as they expand again, we'll see another step level increase as well. So we anticipate this to continue. It's hard to speculate at what rate because a lot of these leaders are very, let's say, closed in terms of providing forecasts and plans. But overall, the demand environment is very favorable. Obviously, it sounds like the supply -- the demand will outstrip supply for the remainder of this decade. So we're well positioned. And as Lisa mentioned, we are continuing to invest in capacity. As Michael mentioned, the supply chain is being fortified to be sure that we're ready to service that ramp when it does continue to happen.
Michael Whang: And Craig, I will add…
Craig Irwin: One last… Sure. Sorry.
Michael Whang: This is Mike. I will add predominantly the consumables are still on 6 inches.
Craig Irwin: That is exactly what I want to ask. So 8 inches is not yet material and that's an opportunity for [Multiple Speakers], it's that fair?
Michael Whang: Yeah, that's fair. We are sampling 8 inch but it's not anywhere near volume levels. So my eyes are still like pilot line evaluation.
Craig Irwin: Understood. Well, hey, guys, congratulations on a well-executed quarter. We do understand supply chains are challenging for everyone and look forward to that being resolved for you and the upward trajectory continuing the path you wrote last year. Thank you.
Michael Whang: Thank you, Craig.
Lisa Gibbs: Thank you, Craig.
Operator: [Operator Instructions] Our next question comes from the line of Mark Miller with The Benchmark Company. Please proceed with your question.
Mark Miller: Let me add my congratulations on the strong quarter. Getting back to the $8 million order you just announced, what are the shipments that are going to be throughout fiscal 2023 for the first half of the year?
Lisa Gibbs: I think it's -- we indicated in the press release it's more the back half of our fiscal ‘23 Mark.
Mark Miller: Okay. You're talking about changing customer base. Is that just more -- can I interpret that meaning you're just seeing growth in terms of the consumables versus other areas like AP?
Paul Lancaster: Hi, Mark. This is Paul Lancaster. Yeah. We indicated there is a softness right now in our advanced packaging. And again, we did see some significant growth year-over-year on the consumables. But additionally, we saw some significant growth in the belt furnaces, the configured belt furnaces that are built out of our U.S. factory at our BTU division. A lot of that's being driven with end markets related to electric vehicle applications.
Michael Whang: Hey, Mark. This is Mike. I will also add that there is a portion of our business right now that the ebbs and flows with a broader semiconductor market, right? But what gives me great comfort and excitement is that a greater portion of our business as evidenced by that recent order and approximately half of our backlog is related to EV applications. We have more order flow, more demand in megatrend growth areas that could smooth out and counter the natural cyclicality in the semiconductor market.
Mark Miller: Can you break out in terms of the belt furnaces what impact they were, what percentage of sales they were last quarter?
Lisa Gibbs: Unfortunately, we do not provide that breakout. I know it would be nice to have, but we've not provided that publicly Mark.
Mark Miller: Okay. Just one more. Any impact on the U.S. restrictions? I don't believe there should be an impact, but just won't have to guess that one. The new U.S. restriction has had any impact on your customers that's more advanced logic and memory, I know that?
Michael Whang: Mark, yes. Absolutely right. So far, there has been no to minimal impacts for us. The market segments we serve are not restricted from the current U.S. government restrictions.
Mark Miller: Thank you.
Lisa Gibbs: Thanks, Mark.
Michael Whang: Thanks, Mark.
Paul Lancaster: Thanks, Mark.
Operator: Our next question comes from the line of Kevin Garrigan with WestPark Capital. Please proceed with your question.
Kevin Garrigan: Hi, everyone. Great speaking with you again. Let me echo my congrats on the strong execution. Just a few questions on my end. To start, this is a multi-part question. You booked a large repeat order, you increased bookings related to EV by 4 times, electric vehicles are becoming increasingly significant. Can you kind of give us a sense of the dollar opportunity for Amtech when it comes to electric vehicles over the next for years? And has this number changed since last year 2020 and would you say that we're still full steam ahead or do you think you might see something slow next year?
Michael Whang: Well, so Lisa is looking at me with a stern eyes. What I can say is, there is sufficient momentum in EV growth that occurred in the last fiscal year, which in the beginning, it was a nice surprise, but then it became more than a trend, right? And what we anticipate is going forward is that we will continue to capture more EV related orders outside of our traditional materials and substrate business units. And this is very exciting, very hardening for us that across all of our business units now, they are fully participating in the EV demand growth cycle.
Kevin Garrigan: Okay, got it. That makes a lot of sense. Thank you for that. And then, Lisa, you've had a solid cash position, can you kind of give us a sense of what your focus is in terms of capital allocation?
Lisa Gibbs: Sure. As we've talked about the challenges, that we're facing in capacity and supply chain. We're looking very closely at what we need to do to build that up. So when I talk about capacity that can range from finding some contract manufacturing partners to help us work that backlog as well as some possible shift additions into our current workforce so that we can start to bring that backlog down in a more meaningful, faster way. So that's part of it. We’ve talked about product development and we're going to have some exciting products on the horizon in the next year. And then M&A, it continues to be something that we're very focused and interested in. We'll see if this current environment might present better opportunities than we saw during some of the peak cycles. So all of that is very much on our radar. And then as we've done in the past, as we work through those priorities, we'll look at buybacks and other ways to return capital to our shareholders.
Kevin Garrigan: Okay. Perfect. And then just the last one, we just spoke about electric vehicles as you look out to 2023 just at a high level, what are kind of the one or two opportunities that are -- that get you guys the most excited about next year? And then what are the one or two things that you're most worried about or that keep you up at night?
Michael Whang: I'll take the first swing at that. So what keeps me up at night is the continued uncertainty and volatility that we're all facing, especially around trade sanctions, logistical flows, and supply chain. And I made this comment earlier is that, so what we've all experienced since 2020 is that we built a very nice fair weather global supply chain that couldn't stand up to the rigors of the current volatilities and the storms that we're facing. And we're just now I think starting to adapt but that adaptation takes time because we invested just globally so much of our investments in this supply chain was in one geographic area and now we need to kind of mitigate the risks around that system, right? So that's what keeps me up at night more than anything else. Is this ongoing supply chain logistical issues. What I'm excited about is are two parts. It fits under one narrative right now and is that we have firmly latched on to the growth opportunities in electric vehicles, vehicles themselves and the broader infrastructure. And unlike prior years where we only had one business unit participate our materials and substrate. Now that has swung across to our other business unit and that's very exciting. So we had a play on the material side with silicon carbide for the EV growth. And then we also have a play more downstream in the assemblies and modules from our belt furnaces made in the U.S. And I do anticipate that to grow in the coming years.
Kevin Garrigan: Okay, perfect. That's awesome. Yes, that was all I had. Appreciate the color and congrats again.
Lisa Gibbs: Thank you, Kevin.
Michael Whang: Thank you.
Operator: And it looks like we have one more question from Mark Miller with The Benchmark Company. Please proceed with your question.
Mark Miller: Just wondering about the guidance. You had similar revenues in the June quarter of 2021 yet you had -- it looks like an operating profit. I'm just wondering what's differing is it margins or OpEx, what's causing you to forecast operating a negative operating margin?
Lisa Gibbs: A lot of it is product mix. So right now, the softness that we're seeing in our advanced packaging and SMT, which is our products that ship out of our Shanghai facility, that's where we're having the most softness in our bookings. So we're relying more heavily on our U.S. build products, which have a lower gross margin profile to product mix. We are seeing some material cost increases as well, which we're doing our best to counteract with some levels of price increases. We're trying to hold OpEx as steady as we can, but labor certainly is driving some increases as well.
Mark Miller: Thank you.
Lisa Gibbs: Thanks Mark.
Operator: And we have reached the end of our question-and-answer session. And this also concludes today's conference. And you may disconnect your lines at this time. Thank you for your participation.